Operator: Good day, ladies and gentlemen, and welcome to the Block Second Quarter 2023 Earnings Conference Call. I would now like to turn the call over to your host, Nikhil Dixit, Head of Investor Relations. Please go ahead.
Nikhil Dixit: Hi, everyone. Thanks for joining our second quarter 2023 earnings call. We have Jack and Amrita with us today. We will begin this call with some short remarks before opening the call directly to your questions. During Q&A, we will take questions from our customers in addition to questions from conference call participants. We would also like to remind everyone that we will be making forward-looking statements on this call. All statements other than statements of historical fact could be deemed to be forward-looking. These forward-looking statements include discussions of our outlook and guidance, as well as our long-term targets and goals, and we may decide to shift our priorities or move away from these targets and goals at any time. These statements are subject to risks and uncertainties. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please take a look at our filings with the SEC for a discussion of the factors that could cause our results to differ. Also, note that the forward-looking statements on this call are based on information available to us as of today's date. We disclaim any obligation to update any forward-looking statements except as required by law. During this call, we will provide preliminary estimates of gross profit growth, GPV, and GMV performance for the month of July. These represent our current estimates for July performance as we have not yet finalized our financial statements for the month of July and our monthly results are not subject to interim review by our auditors. As a result, actual July results may differ from these estimates and may not be reflective of performance for the full third quarter. Moreover, this financial information has been prepared solely on the basis of currently available information by and is the responsibility of management. This preliminary financial information has not been reviewed or audited by our independent public accounting firm. This preliminary financial information is not a comprehensive statement of our financial results for July or the third quarter. Within these remarks, we will also discuss metrics related to our investment framework, including Rule of 40. With Rule of 40, we are evaluating the sum of our gross profit growth and adjusted operating income margins. Also, we will discuss certain non-GAAP financial measures during this call. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter, historical financial information spreadsheet, and Investor Day materials on our Investor Relations website. These non-GAAP measures are not intended to be a substitute for our GAAP results. Finally, this call in its entirety is being audio webcast on our Investor Relations website. An audio replay of this call and the transcript for Jack and Amrita's opening remarks will be available on our website shortly. With that, I would like to turn it over to Jack.
Jack Dorsey: Thank you for joining us today. I'll spend my time today highlighting the progress we've made on two themes; first, our investment framework, and second, our ecosystem of ecosystems model. You'll find everything else from the quarter in the shareholder letter we posted an hour ago. As we shared earlier this year, we define our investment framework as Block and each ecosystem must show a believable path to gross profit retention of over 100% and Rule of 40 on adjusted operating income. Today, I wanted to share our progress towards this target and demonstrate how our investment framework forces us to make trade-offs and guides our decision-making across the company. Leaders across our company are now looking at the true full-cost of their businesses, inclusive of share-based compensation. This has led us to pull back on our pace of hiring to be more targeted in hiring for critical roles and to focus more on performance management. For sales and marketing, we are focused on efficiency to drive acquisition while decreasing spend. We've pulled back on-brand spends and more experimental channels across our ecosystems in favor of channels with more proven returns. This past quarter, we also decided to wind down operations in certain markets, including Cash App's diverse brands in the EU and our Buy Now, Pay Later platform, Clearpay in Spain, France, and Italy. These required significant investment and the markets have not seen the growth and profitability we had expected over the past several years. We see an opportunity to shift these resources towards strategic areas that have a higher potential return on investment. And we continue to drive towards our goal, we may identify other areas where we aren't seeing the expected and necessary returns. We also continue to improve our cost structure for each of the ecosystems by identifying opportunities to expand our structural margins. These include the investments we make in technologies like automation and machine learning to manage risk, and finding ways to optimize our partnerships. As a result of our investment discipline, we are increasing our profitability expectations for this year, which Amrita will speak about. We'll continue to share updates with you as we make progress towards our target. As a company, our strength and resilience comes from our diversified ecosystems, each serving different audiences and the connections we create between them. There are some notable examples of this work in the second quarter. In June, we turned on Cash App Pay as a payment method for Square invoices, giving customers the ability to pay outstanding invoices directly from their Cash App balance. In the second quarter, we launched Cash App Pay with several well-known Afterpay sellers, expanding the connection between Cash App and our Buy Now, Pay Later platform, and also recently launched strategic partnerships with payment providers Stripe, Adyen, and PayNearMe, an important step-in reaching a wider range of merchants. We started enabling Square Payroll employees to file taxes for free by using automated [W2] (ph) import directly in the Cash App Taxes. After receiving a notification from Square Payroll, employees simply log into Cash App Taxes, securely import their W2, and complete and submit their tax forms. Earlier this year, we shared plans for the public beta testing of our Bitcoin Wallet, Bitkey. And in June, we announced our first two global partners, Coinbase and Cash App to allow customers to buy and immediately transfer Bitcoin from those custodial platforms into Bitkey's self-custody wallet. I'll now pass it to Amrita who will provide more details on our financials.
Amrita Ahuja: Thanks, Jack. There are three topics I'd like to cover. First, an overview of our strong second quarter results across growth and profitability. Second, trends we're seeing across our business in July. And third, a look at our investment discipline and profit expectations for the remainder of the year. In the second quarter, we had strong growth at scale with gross profit of $1.87 billion, up 27% year-over-year. Our strong profitability this quarter is a demonstration of our ability to drive leverage and operating efficiency in our business. Adjusted EBITDA was $384 million, more than two times year-over-year. Adjusted operating income, which, as a reminder, includes expenses related to stock-based compensation and depreciation was $25 million compared to a loss of $103 million a year ago. Let's get into Square and Cash App. Square generated $888 million in gross profit, up 18% year-over-year. Looking at some of the drivers, gross profit from our vertical point-of-sale products was up 37% year-over-year, with each of our restaurants, retail, and appointments products delivering gross profit of more than $100 million on an annualized basis during the quarter. Square GPV was up 12% year-over-year, looking at the components of growth across retention, churn, and acquisition. GPV per existing seller, which effectively measures same-store growth has stepped down since the third quarter of 2022 and has been the primary driver of the moderation in GPV growth since then. We achieved positive growth in acquisition and saw relative stability in churn of existing sellers compared to historical levels. We're seeing strength in our Square banking products, which totaled $167 million in gross profit during the quarter, an increase of 24% year-over-year. Banking products represented 19% of Square gross profit excluding PPP, up from 17% in the prior year. The four biggest drivers of Square banking during the quarter were Instant Transfer, Square Debit Card, Square Savings, and Square Loans. We saw benefits from raising pricing on Instant Transfer earlier this year from recent launches of our banking products outside the U.S. and from interest on Square Savings balances. Lastly, for Square, growing up-market has remained strong with gross profit from mid-market sellers up 20% year-over-year. We believe the total addressable market for the larger sellers segment remains large and highly fragmented and our recent shift in go-to-market efforts is intended to drive further growth upmarket. Cash App generated $968 million in gross profit, an increase of 37% year-over-year. Each component of our inflows framework, Actives, Inflows per Transacting Active, and Monetization Rate grew on a year-over-year basis. During the month of June, we reached 54 million monthly transacting actives, up 15% year-over-year. We've continued to see significantly higher attention for actives with larger network sizes. During the quarter, those with a network of four or more represented more than half of Cash App quarterly transacting actives. Peer-to-peer functionality has allowed us to scale our network rapidly and has driven engagement. In the second quarter, peer-to-peer transactions per actives reached an all-time quarterly high, which helped drive $53 billion in peer-to-peer volume across Cash App during the second quarter, an increase of 18% year-over-year. Inflows per Transacting Active averaged $1,134 in the second quarter, up 8% year-over-year and relatively stable compared to the first quarter, which typically has a seasonal benefit from tax refunds. We believe there is significant runway for growth in Inflows per Transacting Active over time through increased product adoption and growing share of wallet. This tax season more than one-third of Cash App Taxes Actives chose to receive their refund directly into Cash App, a meaningful increase year-over-year, driving new actives to direct deposit. Product adoption has been especially strong for our financial services products, both Cash App Card and direct deposit experienced strong growth in actives and volumes. Monetization rate, which excludes gross profit contributions from our BNPL platform was 1.44%. Monetization was up 16 basis points year-over-year, driven primarily by pricing changes over the past year, and up 3 basis points quarter-over-quarter, driven primarily by the timing of strong first quarter inflows during the tax season. Lastly, our BNPL platform contributed $84 million of gross profit to each of Square and Cash App in the second quarter. GMV from our BNPL platform was $6.4 billion in the second quarter, an increase of 22% year-over-year. Losses on consumer receivables were 1.01% of GMV, relatively consistent with the prior year. Next, an update on July trends. For the month of July, we expect total gross profit growth of 21% year-over-year, which we would orient you to for the third quarter and the remainder of 2023. Looking at each ecosystem, for the month of July, we expect Square gross profit to grow 15% year-over-year, which we expect to be relatively consistent through the third quarter. The moderation in gross profit growth from the second quarter is primarily due to transaction margin compression as we lapse certain benefits from more favorable interchange economics last year. Square GPV is expected to be up 12% year-over-year, consistent with the second quarter as we've seen stability in GPV growth over the past three months from May through July. For the fourth quarter, we expect gross profit and GPV growth to improve slightly compared to the third quarter as Square benefits from more favorable comparisons. For Cash App, we expect gross profit to grow 27% year-over-year in July, and similar to Square, we expect it to be relatively consistent through the third quarter. In 2023, we continue to expect growth on a year-over-year basis from monthly Transacting Actives, Inflows per actives, and Monetization Rate. We expect Cash App's monetization rate in the back half of the year to be more consistent with the second quarter and we expect gross profit to grow more in line with the overall inflows as a result. Given the focus on efficiency, the wind down of Verse will have an impact on monthly actives going forward, although we do not expect an impact to inflows or gross profit. Four the fourth quarter we expect a slight moderation in Cash App's gross profit growth, driven by stabilization in Cash App's monetization rate, and as we lapse stronger growth in the prior year period. For our BNPL platform, we expect year-over-year GMV growth in July to be similar to the second quarter's 22%, with GMV growing faster than gross profit due to regional mix. Turning to our progress against Rule of 40 and our profit expectations for the remainder of the year. Our investment framework sets up an ambitious goal, and we're focused on progressing towards it over the long-term. We'll continue to share updates with you and hold ourselves accountable. Expanding on what Jack touched on, we've worked to deliver efficiencies through the first half of the year. On hiring, we drove leverage compared to our expectations entering the year by encouraging efficiencies among existing teams and prioritizing hiring in more critical areas. We expect our headcount growth in 2023 to be below the 10% target set out earlier this year. With sales and marketing, we've pulled back on lower ROI channels to increase our efficiency, while Cash App's variable sales and marketing expenses namely peer-to-peer and Cash App Card issuance costs were up year-over-year, overall company customer acquisition spend was down year-over-year, driving leverage across Square and Cash App. Despite this pull back, we saw healthy acquisition across each ecosystem as we shifted our mix of spend. And looking at corporate overhead spend, we began to identify cost savings opportunities by downsizing our real estate footprint across some of our West Coast office locations. Given some of these items on a GAAP basis, operating loss was $132 million in the second quarter, which includes the impact of acquisition-related amortization expenses, as well as restructuring expenses for the wind down of Verse and Clearpay in certain markets and write-downs for certain real estate facilities among other items. We expect to find further leverage opportunities in these and other overhead expenses over time. Moving to our full-year 2023 profit guidance. As we have progressed further into the year, we have better line-of-sight into our planned expenses and our updated guidance today reflects this. We're increasing our expectations for profitability in 2023 and now expect to deliver adjusted EBITDA of $1.5 billion and adjusted operating income of $25 million for the full-year 2023. We expect to achieve profitability on an adjusted operating income basis for the year, which is inclusive of share-based compensation expenses. We continue to expect year-over-year margin expansion on both an adjusted EBITDA and adjusted operating income basis. Our updated full-year guidance represents a step-up of $140 million for each figure compared to our prior guidance. This represents both the gross profit momentum in our business during the second quarter and the focus on expense discipline we delivered in the first half of the year, which we expect to continue to drive in the second half of the year. Finally, touching on the third quarter, we expect third quarter non-GAAP operating expenses of $1.55 billion and we expect share-based compensation to increase by approximately $25 million relative to the second quarter. As Jack mentioned, share-based compensation remains an area on which we are focused and expect to drive greater leverage over time. We're excited about the progress we've made towards our investment framework and Rule of 40 this quarter and are eager to continue to work. With that, I'll now turn it back to the operator to start the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] We'll take our first question from Tien-Tsin Huang at JP Morgan.
Tien-Tsin Huang: Hey, thanks so much here. So, given your July month update tracking a little bit slower than the second quarter and also your profit update which you raised. Just love to hear your updated thoughts on operating leverage. I know I asked that quite a bit, but just operating leverage here in the second half versus the first half. Is operating leverage going to be driven more by the top-line or by expense focus that you also talked about across the two ecosystems? Thanks.
Amrita Ahuja: Hey, thanks for the questions, Tien-Tsin. So obviously, as we see strong second quarter results across both top-line and profitability, we're pleased with our ability to show discipline in our operating expenses, finding efficiencies while continuing to strongly grow the business. And we expect to deliver continued discipline on our expenses in the back half of this year and that's what led to raising our profitability targets for the full-year by $140 million, reflective of -- on each of adjusted EBITDA and adjusted operating income, which reflects not only the strong performance in the second quarter, but raises our guidance for the remainder of the year. And as you heard our second quarter -- our July expected gross profit growth of 21% year-over-year growth, we would urge you to look at from a third -- full third quarter perspective, and remainder of 2023 perspective as well to see some stability from a gross profit perspective at the Block level from July forward. As we noted, there is some lapping effects within Cash App and Square related to pricing dynamics within Cash App and related to interchange economics within Square. From an operating leverage perspective, we see a number of opportunities for us, not only that we've executed on in the first half of this year and expect to continue to drive into the second half, but also as we look forward longer-term. Namely three that I'd call out to you is the three biggest areas in our expense base of leverage: first, sales and marketing; second, around hiring and headcount; and third, around our corporate overhead. From a sales and marketing perspective, we're focused on finding efficiencies and optimizing our spend. What you saw in the second quarter was our overall customer acquisition spend was down year-over-year with leverage across Square and Cash App. And despite this, we continue to see healthy acquisition across Square and Cash App as we oriented more of our remaining spend towards more proven channels and more proven areas of return. Secondly, with hiring, we've taken a more disciplined approach to growing our teams. In the first half of the year, we drove leverage compared to our expectations, and are encouraging more efficiencies out of our existing teams. Over time we'd expect to see a slower pace of hiring, which drive leverage here as well as on stock-based compensation. From an overhead perspective, as we noted in the quarter, in the second quarter, we downsized our real estate footprint on the West Coast for some relatively modest savings, but longer-term we expect to drive leverage across a number of meaningful areas of spend here, whether it's software and data usage or real estate facilities, professional fees, T&E and a range of other discretionary areas. Ultimately, our investment framework and our target of achieving Rule of 40, which is a growth plus margin framework, will help us make these important trade-offs as we continue to invest to drive long-term profitable growth in the back half of this year and into 2024 and beyond, while doing so prudently and with discipline in our operating expense base.
Tien-Tsin Huang: Got it. Thanks. Appreciate it.
Operator: We'll take our next question from [indiscernible] with Wolfe Research.
Darrin Peller: Hey, guys, this is Darrin Peller on from Wolfe. You had 12% GPV growth into July, I think you just said, Amrita, right? And then, in comparison that was around 6% to 7% growth, so obviously, your share is still gaining and holding up versus the industry, if you could just touch on what's working well there? And then also maybe expand on the verticalization efforts in the segment? While we're on that topic though, I mean, the verticalization efforts obviously is going to come with some investments. So if you could just remind us your view on profitability levels beyond 2023 and I know the Rule of 20 there, but just without a time frame, it's hard to really handicap how to think about progress in 2024 and 2025?
Amrita Ahuja: Hey, thanks for the question, Darrin. So, I think what I'll do is I'll first hit what we're seeing in terms of Square GPV in the second quarter and into July, and then we'll hit upon the verticalization efforts for the Square business. So what we're seeing in terms of July trends was fairly consistent with what we've seen really through May. We've seen stability in GPV trends from May through July, with July coming in at that 12% year-over-year basis, consistent with the second quarter also at 12%. If you unpack that by vertical in the second quarter, food and drink TPV grew by 17% year-over-year. Retail GPV grew by 9% year-over-year. Services also by 9%. Services, of course, encompassing a number of sub-sectors, beauty, health and fitness, home and repair, professional services. We have seen some moderation trends across the discretionary and non- discretionary verticals which we have talked about since really that mid-Q4 timeframe, and that's really broad-based across a number of different verticals. From a geographic perspective, what we've seen is, international markets had continued to also see some of those macro-related headwinds, which were more pronounced in Australia in the second quarter, albeit with overall growth ex-BNPL, continuing to be at a much faster rate of growth in the overall base of the business at 35% year-over-year growth for those international markets in the second quarter. And again, from a month-to-month perspective, generally seen greater stability from May through July on those GPV trends for Square. Driving the -- diving into your verticalization question now, which I think is a key question for us as we think about continuing to grow up-market, where we have seen outsized growth. From a gross profit perspective, up-market grew 20% year-over-year in the second quarter for us. This is a key area for us as we continue in our strategic focus on bringing larger sellers onto our platform and acquiring those sellers across our key verticals of restaurants, retail, and beauty. Within our sales team, our focus has been on providing our reps with the right tools, industry knowledge and signals to prospect, and to acquire sellers across those three verticals. Let's take inbound and outbound sales, within inbound, we began verticalizing our US inbound sales team last year. We completed that in April of this year and since that completion, we've seen an improvement in gross profit added per account executive and in software attach rates, still early but encouraging trends there. Now for outbound, we finalized verticalizing our US outbound sales team in July, so just this past month. Our account executives have now completed their industry training programs, which enables them to really deepen their knowledge within the assigned vertical that they've got. And we anticipate our account execs will continue to ramp through Q3 and hopefully be fully ramped into Q4. With those changes, our goal is to increase gross profit account added per account exec and software attach rates as we've seen with the inbound sales team, and as we see those signals and gain confidence there on our processes and results, we'll look to continue to scale the outbound sales team over time. Ultimately, we will be iterating on this in the coming quarters and years as this is a long-term initiative for us to continue to go up-market and with our vertical points of sale and to drive those sustained results over time. We'd expect to see these results paying-off and driving growth into 2024. And expect our overall go-to-market spend to target that three times ROI over four years.
Darrin Peller: Okay. Thanks, Amrita.
Operator: And we'll take our next question from Tim Chiodo with Credit Suisse.
Tim Chiodo: Great. Thank you for taking the question. I want to talk about seller sales and marketing or Square sales and marketing a little bit. So this year's marketing expense, you mentioned, it's benefiting from some of the annualization of the pullback that you had on brand, awareness, and some of the experimental stuff, so a shift towards more efficient spent. But sometimes there is a concern from investors that, because the dollar amount is lower, that the size and health of the new cohorts coming in might actually be a little bit smaller, but we gather that the payback periods have really come in more than the four to five range, and they had expanded to maybe six to seven at one point last year. So with all that context, maybe you could talk about the health and the size of the cohort that you're bringing in now for Square.
Amrita Ahuja: Sure, happy to take that. Thanks for the question, Tim. Let me start with the cohort trends on payback periods and then we can dive into what we're seeing in the first half of the year in terms of spend and customer acquisition. So, in 2022 -- for our 2022 cohort, we're seeing trends toward a six to seven-quarter payback, which is slightly higher than our expectations as these cohorts have cured. Square sales and marketing spend was up approximately 20% year-over-year in 2022 compared to 2021. From a 2023 cohort perspective, we're targeting approximately a five-quarter payback as we expect payback to improve compared to last year, and have a more meaningful impact to growth in 2024. And as I just mentioned, our longer-term target across the go-to-market investments for Square remains the 3 times ROI over four years. When you look at the first half of this year, we have pulled back on sales and marketing spend. Through the first half of the year, Square sales and marketing is down 6% year-over-year, and we expect continued pullback for the rest of the year. Again, we're focused on optimizing our mix of investments across channels and driving efficiency, so we pulled back meaningfully on our brand and awareness channels on a year-over-year basis, as well as sales, and we've reduced the size of the team meaningfully as we focus on reorganizing the teams and enhancing our data and incentives as I was just speaking to on the sales team. Despite those pullbacks, we've seen strong growth in acquisition over the past two quarters, with year-over-year growth in acquisition improving in the second quarter compared to the first quarter. This is with Square sales and marketing down slightly year-over-year in the second quarter and down 6% through the first half of the year.
Operator: And we'll take our next question from...
Tim Chiodo: Perfect. Thank you.
Operator: Thank you. And we'll take our next question from Lisa Ellis with MoffettNathanson.
Lisa Ellis: Hey, good afternoon, thanks for taking my question. I was hoping to drill in a little bit on the initiatives you have underway to connect Block’s to ecosystems. In the shareholder letter and prepared remarks, you called out a few different ones with Cash App Pay also I saw 15% growth in Cash for Business, and a couple of other highlights in there, can you just kind of take a step back and update us some of your current overall strategy for connecting ecosystems and maybe some data points on the benefits you see in the organization, the kind of network effects, as well as maybe some of the profitability that you see. Thank you.
Jack Dorsey: Yes, I can start with that. So as we've talked about, we do believe our power and especially resilience in our business as it is the fact we have multiple different ecosystems serving different audiences, and I've been spending a lot of my time and focus on looking for opportunities with the teams to connect them. Some of the ones we mentioned earlier on the remarks are mostly between Square and Cash App, so Payroll and Cash App Taxes was a big one. Cash App and Square through Afterpay is the biggest part of my focus right now and I'm really excited about the strategy. We continue to refine it and look for opportunities to build a really compelling experience within the Cash App that builds network effects and increases our network effects within Cash App, but also enables us to have an app that people are checking every day, because there's something interesting and especially as we balance that with Square and our network of sellers like it's even more unique and more compelling. Cash App and our Bitcoin hardware, specifically the Bitcoin Wallet, we announced a partnership in a launch. There will be a global first product. We will be launching in the most countries we've ever launched in to start. And we're constantly looking for other ones, there's a lot around Cash App Pay and Square, especially around local offers and local merchants and we continue to find more and more connections and that doesn't speak to the future ones, which would be titled in looking at opportunities for Square, especially musicians looking forward to sell merchandise for ticketing, and TBD, we believe with its protocol will enable both Cash App and Square and even entitled to move much faster and move much faster globally. So we're excited about that. So we have a mix of external products facing features that connect the two ecosystems and a lot of internal stuff as well. We're using more shared resources or shared learnings and able to move much faster as an individual ecosystem because the work is already done by a peer ecosystem.
Lisa Ellis: Thank you.
Operator: We will take our next question from Ken Suchoski with Autonomous Research.
Ken Suchoski: Hi, good afternoon. Thanks for taking the question. It's good to see the strong growth coming out of Square's International markets yet again. I believe Square recently highlighted that many of its verticalized software products are now available in some of the company's largest international markets. Can you just talk about the opportunity here from a software penetration perspective compared to the US and how -- I guess, how have been these verticalized software products in these local markets can help you sustain the momentum behind the international business in terms of GPV growth and gross profit growth?
Jack Dorsey: Yes, thanks for the question. I'll start. So our priority with Square is to achieve parity across each of our markets, meaning, that we launch all our features in any one particular market globally. There is various challenges to doing that, Square Loans being an example, different regulatory environments, that just increases the workload. And every new market that we take on, it does have some cost to us doing more features for the general product, so we're always avoiding that costs and making sure that we're picking the right markets at the right time. We made a lot of strides in Q2 with the launch of 30 products across our global markets for Square. One of the most notable was Tap to Pay on Android and that's available to sellers in the US, Australia, the UK, Ireland, France, and Spain. This is a big deal as TAP becomes the dominant way to pay, more and more people are using their phones, especially outside of the United States and Europe and Australia. And then, we also launched our second-generation Square Reader in the UK, Canada, Australia, Japan, France, Ireland, and Spain, and this improves the battery life, stronger connection, NFC performance, and it allows sellers around the world to take secure payments from just about anywhere, it's extremely affordable. Australia continues to be very strong in the 12 months ending in June, almost half of Square's gross profit in Australia came from sellers that used for monetized products, which is up from less than one-third two years ago. And we've seen our Square banking products contribute to some of the strong gross profit growth we've seen in international markets as well. So we continue to push. Going international has to be more deliberate and therefore a little bit slower. We've learned a lot as we go into every market and each market that we open, we can move much faster and ideally grow faster as well.
Amrita Ahuja: And I'd just add, Ken, that as you noted, this is a big opportunity for us. We believe that in these markets outside the US that we're in, we're less than 1% penetrated in the opportunity with a long runway for growth. So, as I noted, our gross profit growth for Square excluding the BNPL platform in our markets outside the US was 35% year-over-year in the second quarter, now at about 11% of Square's total gross profit ex-BNPL with GPV up 26% year-over-year and 32% on a constant currency basis, and that really encompasses, as Jack was saying, the rollout of additional products across the full suite, whether it's payments, software, hardware, as well as banking products now more recently, where we're seeing strong traction and where we've got our work to continue to build upon this momentum.
Ken Suchoski: Great. Thank you, both.
Operator: We take our next question is from Bryan Keane with Deutsche Bank. Q - Bryan Keane Hi, guys, thanks for taking the question. We were excited to see the 1 million Cash App Pay Active use base, just curious on the timeline for merchant distribution and acquirer expansion for Cash App Pay. And then maybe you can just go over the revenue model for Cash App Pay in particular? Thank you.
Jack Dorsey: Yes. So with Cash App Pay, our goal is to provide a lot more flexibility for customers. And as I mentioned in my opening remarks, we have expanded our distribution recently with partnerships with Stripe, Adyen, and PayNearMe, which allows us to reach a much broader range of merchants and also industries. We launched some additional Afterpay merchants in Q2, including Steve Madden and Fenty Beauty, and we still see significant room to grow the adoption of Cash App Pay, and we're actively pursuing a pipeline of new merchants, Afterpay certainly helps with that. During the second quarter, nearly $500 million in annualized volume was processed through Cash App Pay, and nearly 1 million Cash App Pay monthly actives as of June. So it allows us to reach customers beyond those that the Cash App Card is serving. We've seen really strong adoption amongst our younger audience, gen-z demographic. So, we've seen promising results and we're still looking for opportunities to make sure that we continue to see those and push it.
Amrita Ahuja: And I'll just add, Bryan, that we see merchants eager to onboard with Cash App Pay because of the access to the very attractive customer base that we have, 54 million monthly transacting actives as of June, who are highly engaged on our platform and inflows over $1,100 during the second quarter, and so with Cash App Pay being present as a payment device on their platform, they get access to these customers who don't even necessarily have to have been signed-up by a Cash App Card, and that's really the proposition that we're selling into these merchants -- these large merchants, who are finding real product fit here with Cash App Pay.
Bryan Keane: Great. Thank you.
Operator: We'll take our next question from Harshita Rawat with Bernstein.
Harshita Rawat: Hi, good afternoon. Can you expand upon your comments around headcount growth in the business? It's been very strong over these past few years. How are you seeing potential for efficiencies, for example, in your engineering teams with AI? And Amrita, I know you talked about the headcount growth for this year, but how should we think about headcount growth trajectory over the medium-term? Thank you.
Jack Dorsey: Yes, I think the biggest change has been our investment framework and making all teams and leaders and managers aware of the true cost of the business and taking into account stock-based compensation, so we have slowed hiring and we have targeted more -- we've been more targeted in our hiring to get much stronger talent and looking deeply at performance management as well. Of course, there's always efficiencies to bring to the table, but we just want to make sure that we're looking at each ecosystem and really putting the decisions in the hands of the folks running those teams and really running the company with everyone having the investment model in their head to make sure that we are achieving the growth that we want to see at the cost that we want to minimize. So it is early as we just rolled out this investment framework, but it does seem to be working and this is something that's in the consciousness of the organization.
Harshita Rawat: Great. Thank you.
Operator: We'll take our next question from Rayna Kumar with UBS.
Rayna Kumar: Good evening. Thanks for taking my question. Could you talk a little bit about the next steps in the Afterpay integration and could you discuss more broadly, what are the next thing to look out as you integrate Afterpay?
Jack Dorsey: Yes, as I said, this is where a lot of my focus is right now. I'm meeting the team members on a daily basis to make sure that we come up with a compelling and differentiated experience. A lot of the work is going to be found within Cash App and the Cash App Discover tab, it's a little magnifying glass in your interface. We want to build a compelling experience that people want to go back to daily to find offers, to find deals, to find items, to find merchants around them, and that would be a place that also continues to push on our ecosystem of ecosystem model so that we're benefiting -- the Square ecosystem and the Square ecosystem benefits Cash App. So that will probably be where you'll see the highest velocity changes. A lot of it has to do with our ability to rank this items and merchants and deals and offers on a relevant basis, and obviously, we will be applying machine learning and deep learning to do that based on all the signals we get. But that's where the ecosystems really come together in our highest impact way, we believe, and it leads to many other opportunities down the line, so that's where I would look.
Rayna Kumar: Thank you.
Operator: We'll take our next question from Ramsey El-Assal with Barclays.
Ramsey El-Assal: Hi, thanks for taking my questions this evening. I wanted to ask you to dive in a little bit deeper on the move up-market and seller, and just kind of comment on how the larger retailers and merchants are utilizing Block services maybe differently than the smaller merchants. How does the value proposition sort of change, what's resonating, and then just what strategy you might use to sort of lean into this move up-market?
Jack Dorsey: So, in terms of the verticalization and attracting -- getting people more up-market, I think the biggest one is, we just have a much more focused effort around these verticals and there we maintain flexibility. A lot of our competitors are working on one vertical. We're working on all three, all three of the dominant ones that you find within commerce. So the big aspects that people choose Square for is because, I might be a restaurant chain, but I also have some retail elements or it might be a chain of nail salons and provide services and retail. So we're seeing a lot of crossover between all these verticals and because Square is one ecosystem and they all -- it all connects together with all the operational utilities as well. It's very easy to choose and it's very easy to add these new dimensions to your offering to your customers, which ultimately differentiates you from your competitors and encourage ourselves. So, if I were to point to one thing, that would be the flexibility that we enable and that flexibility extends to as you do get bigger or you're coming to us as a bigger entity or you might have legacy systems or you might need to do custom work and that's where our Square platform comes in, enables people to hire developers themselves, take tools, offer marketplace, to actually customize their work and customize their own system so that they can build the experience that they want for their customers so that flexibility is really significant, and one that continues to set us apart. It also allows us to move much faster because we're using the same developer platform internally as we're exposing externally. So a lot of our interfaces are built on that. And it allows us to focus on the interface and experience and make sure that all of our developers have access to the same tools that we do, so they can build really compelling additions and our larger merchants can build compelling additions themselves on the same tools and that same foundation.
Ramsey El-Assal: Thank you.
Amrita Ahuja: And I'll just add, Ramsey, that if you think about, to your question how the larger sellers use our platform differently from smaller sellers, I think one simple way to answer that is, they use more of our platform than smaller sellers and I think the last stat we shared in 2022, the mid-market sellers who adopted for more of our products had 15 times greater attention than those who only adopted one, and you know, they generally adopt more products than smaller sellers. So that ability to do take on more jobs on behalf of that merger seller ultimately builds more retentive relationship with them. And as Jack mentioned, that comes through not only in our vertical software offerings, each of which is now running at an annualized gross profit growth rate of $100 million or more during the second quarter but also a developer platform which provides third-party integrations, so the sellers can build more customized solutions and applications across a number of different aspects, not just payments, but orders, inventory, customers, et cetera. And so the growth that we're tracking on our vertical points of sale, 37% year-over-year in the second quarter and gross profit growth from our developer tools, which also outpaced overall Square gross profit growth, a real key area for us to continue to be tracking here along with our go-to-market orientation around a greater verticalized orientation from a marketing and sales perspective. We see this as being key elements of our platform and our go-to-market approach that ultimately helps us attract larger sellers.
Ramsey El-Assal: Great. Thanks so much.
Operator: We'll take our next question from Trevor Williams with Jefferies.
Trevor Williams: Great. Thanks for taking the question. I wanted to ask on the SNS line within seller the disclosure on Square banking was helpful to see this quarter, but if you could just give us kind of a snapshot of current stack rank of the biggest revenue contributors to that line today? And then, second part to that would be on Payroll. Jack, you mentioned in your remarks some of the integration there with Cash App Taxes, but any broader update on Payroll and how you're thinking about the longer-term opportunity to cross-sell into the existing sellers base there? Thanks.
Jack Dorsey: Sorry, your first question was on. Go ahead, Amrita.
Amrita Ahuja: I think the first question was on subscription and services within Square and helping the stack rank some of the largest Square products within that line. And I would orient you, Trevor, to our Square banking disclosures, where Square banking contributed $167 million in gross profit in the second quarter, the four biggest sort of areas there being Square Loans, Instant Transfer, Square Debit Card, and now our Square Savings product as well, which we're now recognizing interest benefits from as part of our gross profit as well. So those are kind of the four biggest products from a banking perspective that I'd orient you to and that are driving meaningful growth in our Square banking initiative and more broadly across SNS for Square. I think the second question, Trevor, you had was on Payroll.
Trevor Williams: It was on Payroll, yeah, exactly. Just a cross-sell opportunity into the existing merchant base. Thanks.
Amrita Ahuja: I think we continue to see as we -- especially as we grow our sales initiatives and deepen those relationships with upmarket sellers, we see a significant opportunity to drive software attached, whether its Payroll or any of our other 30-plus products across the Square ecosystem to drive attach into upmarket sellers. And so that's a key part of our initiatives. And as I mentioned, it's early days, we're only a few months into having verticalized our inbound US sales team, but we are seeing higher software attach from that verticalization and we're now in the process of ramping our outbound sales team as well, and hope to continue to drive that through products like Payroll and other products as we build those touchpoints with up-market sellers.
Operator: We'll take our next question from Jason Kupferberg with Bank of America.
Jason Kupferberg: Hey, thanks, guys. Just can you quickly review what you said about Square gross profit and GPV growth for Q4? And then just on the Cash App side, I think the inflows per active were up 8% in Q2, do you expect that to stay pretty stable in the second half? Thanks.
Amrita Ahuja: Jason, happy to take that one or start on that one. So let's start with Square and will unpack some of the GPV trends that we're looking at. Generally, we look at Square growth across three high-level components, customer acquisition, churn. and same-store growth. In the second quarter, we saw acquisition grow year-over-year, as I've mentioned already, churn was relatively stable and we saw a moderation or where we've seen moderation in growth is in the same-store growth element of those three elements or GPV per seller. So, let me kind of walk-through and unpack each of those. From a customer acquisition standpoint, in both the first quarter and the second quarter, we saw year-over-year growth in acquisition and based on trends to date, acquisition growth in the second quarter improved compared to the first quarter. From a churn perspective, since the third quarter of 2022, we've seen relative stability in churn of existing sellers on a year-over-year basis, no material changes there. From a same-store growth perspective or a GPV per sellers, there is a kind of a couple of things that unpack for you where we've seen the moderation. First, it looks to be consumer-related. Second, it looks to cross multiple verticals. Third, this -- sort of retention dynamic or GPV per seller dynamic. Teams that account for the majority of the GPV growth [indiscernible] that we've seen since the third quarter of last year. And for us, we see similarity in our data here on GPV per seller trend to broader third-party data as well. So let me kind of walk-through each of those elements. First, processing volumes at existing sellers are again sort of that same-store growth element, were lower in the second quarter of 2023 compared to the third quarter of 2022 levels. We noted seeing the similar dynamics since mid-November, which is kind of that Q4 timeframe that you're referencing. We believe it's consumer-related as growth spend per card and the number of unique cards remains lower than October levels, while churn, as I mentioned remains relatively stable. Ultimately, obviously, we manage the business to gross profit but unpacking some of the GPV trends might be helpful to illustrate here. Since the third quarter of 2022, we've seen an 8 point slowdown in Square's global GPV growth from 20% or so to 12% or so. We estimate the GPV per seller or same-store growth has been responsible for the vast majority of the slowdown since the third quarter of last year. It's really impacting nearly all the verticals we see in recent quarters and impacts broadly across the seller base by seller size as well, but perhaps more pronounced amongst larger sellers. And similar to the data that we've seen and that we're tracking on third-party data, since the third-quarter, our US GPV growth has slowed by 7 points and we've seen an 8 point slowdown in growth of US retail sales and a 6 point slowdown in the growth of Visa and Mastercard volumes in the US. So these are some of the key elements that I'd point you to that kind of unpack what we're seeing from a same-store growth or GPV trend-line perspective.
Jason Kupferberg: [indiscernible] for 2023, I just wanted to make sure I heard the commentary right there.
Amrita Ahuja: Sorry, say that again, on 2023?
Jason Kupferberg: For the fourth quarter of 2023, the relative growth rate you're expecting on GP and GPV versus Q3, 2023.
Amrita Ahuja: Sure, yes, what we shared for Q4 was that we expect to see a slight improvement in gross profit and GPV growth compared to Q3. Q3, remember we're sort of -- urge you need to look at the July rate for Q3, the July rates being 15% gross profit growth for Square and 12% GPV growth for Square, but we expect to see improvement in the fourth quarter given some of the more favorable comparisons. Again as I referenced, we started to see some of the moderation in growth across these verticals in the mid-Q4 time-frame of last year. The second part of your question, Jason, was on inflows per active, the 8% growth there, and in the second quarter, and I think your question was just sort of the sustainability or how we see growth on inflows per active over time.
Jason Kupferberg: Yes, for the second half of this year. Thanks.
Amrita Ahuja: Sure. Yes, as I noted in the remarks earlier, we expect from 2023 perspective to see overall growth in inflows per active. We saw that 8% growth in the second quarter as well, and relative stability quarter-over-quarter even though we have a greater impact from tax refunds in the first quarter. Ultimately, we've been encouraged here by the healthy trends. As we look forward, I think there's kind of two dynamics that I'd point out beyond the broader question of consumer health and consumer spend levels. One is product adoption. If we can drive more product adoption and cross-sell of our products, that gives customers more reasons to onboard more funds into Cash App. Also, if we give customers more ways that they can onboard their funds into Cash App that also, for example, Pay for money deposits in the past couple of quarters, that also gives us -- leads to incremental volumes on inflows and opportunities to engage customers through our products. The one mitigating element to that is the mix-shift dynamic as we attract younger demographics into Cash App and we've seen strong and encouraging trends with younger demographics like Gen-Z demographics that could put some pressure on inflows per active as these customers are more likely to have lower inflows per active earlier in their financial journey, but this is the demographic that we want to be growing with over the long-term. So those are kind of the two dynamics that I would share with you as you think about modeling inflows per active over time.
Jason Kupferberg: Very helpful, thanks.
Operator: And we have time for one more question. We'll take our last question from Jamie Friedman with Susquehanna International Group.
Jamie Friedman: Hi. I was wondering, Amrita or Jack, how Afterpay is performing relative to your expectations from a credit perspective. I realize losses on consumer receivables were just 1.01%, essentially the same as last year, but is that more due to your treatment of the credit box? How, overall, are you thinking about that, the originations versus the profitability from a credit perspective? Thank you.
Amrita Ahuja: I can start on that one. What I would say is that what we've seen for Afterpay in the first half of this year is stability to improvement and overall trend lines from a topline perspective, whether you look at GMV or gross profit with consistent loss rates and we've maintained a really disciplined approach here to risk loss and continue to see stable trends in consumer health and repayment behavior with stability as you noted on losses on consumer receivables from the year-over-year perspective in the second quarter. This is while GMV was up 22% year-over-year in the second quarter and improving from the 17% growth rate in the first quarter. And similarly, while gross profit was up improving from -- at 13% year-over-year in the second quarter, improving from 10% in the first quarter. So we've seen stable to improving trends on the core BNPL products within Afterpay, while we continue to focus on much larger opportunities on integration with the commerce pillar connecting our Cash App and Square ecosystems and while we maintain healthy loss rates across the ecosystem.
Jamie Friedman: Perfect. Thank you.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's program. This does conclude the program. You may now disconnect.